Operator: Thank you for standing by, and welcome to Prestige Consumer Healthcare's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to hand the call over to Phil Terpolilli, Vice President, Investor Relations and Treasury. Please go ahead.
Phil Terpolilli: Thanks, operator, and thank you to everyone who has joined today. On the call with me are Ron Lombardi, our Chairman, President and CEO; and Christine Sacco, our CFO and COO. On today's call, we'll review the third quarter fiscal 2025 results, discuss our full year outlook and then take questions from analysts. A slide presentation that accompanies today's call can be accessed by visiting prestigeconsumerhealthcare.com, clicking on the Investors link and then on today's webcast and presentation. Remember, some of the information contained in the presentation today includes non-GAAP financial measures. Reconciliations to the nearest GAAP financial measure are included in our earnings release and slide presentation. On today's call, management will make forward-looking statements around risks and uncertainties, which are detailed in a complete Safe Harbor disclosure on Page 2 of the slide presentation that accompanies the call. These are important to review and contemplate. Business environment uncertainty remains heightened due to supply chain constraints evolving U.S. and international tariffs and inflation, which have numerous potential impacts. This means results could change at any time, and the forecasted impact of risk considerations is the best estimate based on the information available as of today’s date. Further information concerning risk factors and cautionary statements are available in our most recent SEC filings and our most recent company 10-K. I'll now hand it over to our CEO, Ron Lombardi. Ron?
Ron Lombardi: Thanks, Phil. Let's begin on Slide 5. Our solid third quarter results exceeded the expectations we communicated back in November and resulted in both record quarterly sales and EPS. Net sales of $290 million increased nearly 3% versus the prior year and was above our forecast. We experienced continued strong international growth, including for the Hydralyte brand, coupled with broad-based growth across nearly all of our North American categories. This included year-over-year growth in the Summer's Eve brand within the women's health category as well as sequential sales improvement for Clear Eyes. Earnings increased sharply in Q3 by 15% to a record quarterly EPS of $1.22, reflecting our strong sales growth, a stable gross margin and disciplined capital deployment that's led to both lower interest expense and share count. Lastly, our strong free cash flow continues to enable capital deployment options that we use to enhance shareholder value. In Q3, we've reduced our variable term loan debt balance to zero and continued to opportunistically repurchase shares, while improving our leverage ratio to 2.5x. Chris will discuss our financial profile and go-forward capital priorities in greater detail later on. Now let's turn to Page 6 for a review of our GI category. Our fast growing GI business represents nearly one-fifth of North American sales. The category features wide ranging GI solutions that are shown on the left of the page. The portfolio is headlined by three iconic GI brands: Dramamine, Fleet and Gaviscon. Each solves for unique consumer needs and leverages our wide assortment of brand-building capabilities to drive long-term growth. Dramamine is synonymous with motion sickness in Nausea categories. It recently celebrated its 75th anniversary and continues to remain the clear market defining brand. Our sales continue to grow nicely through a combination of engaging marketing, featuring our Drama Llama that encourages consumers to Ditch the Drama as well as consistent innovation. Our most recent innovation includes Dramamine Advanced Herbals, which features ingredients specifically designed to help consumers deal with Nausea and Stress. Next, the Fleet brand is a clear market leader with a 100-plus year history since its creation by Charlie Brown Fleet. Today, it stands with over a 50% share of the rectal laxative category. The brand's core assortment of enemas and suppositories provide rapid constipation relief for consumers when they need it most. We're also successfully leveraging the brand's deep consumer trust to expand into adjacent categories such as oral laxatives, where consumers know and trust the Fleet brand for laxative relief in other forms. This expansion builds naturally on the brand's longstanding heritage. Lastly, our Gaviscon brand in Canada continues to grow nicely with targeted marketing and consistent innovation that we discussed in detail last quarter. So in summary, our wide ranging portfolio of leading GI brands have time-tested brand building that is used to drive long-term growth in their own unique ways. The formula continues to work driving solid mid-single-digits growth over the last three years in total and has set us up well for future success. With that, I'll turn it over to Chris to discuss the financials.
Christine Sacco: Thanks, Ron. Let's turn to Slide 8 and review our third quarter fiscal 2025 financial results. As a reminder, the information in today's presentation includes certain non-GAAP information that is reconciled to the closest GAAP measure in our earnings release. Q3 revenue of $290.3 million increased 2.7% or 2.3% excluding FX versus the prior year. In the North American segment, we experienced broad-based growth, which included nice growth in GI category brands that Ron highlighted earlier, partially offset by lower Cough & Cold sales, which we expected. International segment sales grew approximately 8% excluding FX, headlined by Hydralyte. EBITDA margin was consistent in the low-30s and up 5% versus the prior year. Diluted EPS of $1.22 was a quarterly record and increased 15% versus prior year, thanks to the benefits of our capital allocation strategy and reductions in interest expense and share count. Let's turn to Slide 9 for detail around consolidated results for the first nine months. For the first nine months of fiscal 2025, revenues decreased 90 basis points organically versus the prior year. By segment excluding FX, North American segment revenues decreased 2.1% and International segment revenues increased 6.2% versus the prior year. The first nine months sales declines were due to anticipated impacts of the Clear Eyes supply chain constraints previously discussed, the planned impact of retailer ordering in the Cough & Cold category and women's health declines largely in the first quarter. We are pleased to report that, we are experiencing our second quarter of sequential improvements in Summer's Eve with third quarter sales increasing slightly versus the prior year and Clear Eye sales growing sequentially as well. E-commerce was also a highlight continuing its trend of double-digits year-over-year channel growth and the long-term trend of higher online purchasing of our brands. As expected, total company gross margin of 55.2% in the first nine months was down slightly versus the prior year, owing to the expense associated with expedited freight of Clear Eyes. For Q4, we anticipate a gross margin of approximately 57% with the increase largely attributable to the timing of certain cost-saving efforts. Looking ahead in terms of tariffs, our unique business attributes leave us well-positioned to manage further changes in inflation, which include tariffs. We continue to plan and manage our actions to respond quickly to any future changes in tariffs and other related inflation. Our needs-based consumer health care brands and their leading market share leave us well-positioned to execute further pricing and cost saving efforts as necessary to offset the impact of future inflation. Advertising and marketing was 14.1%, as a percentage of sales for the first nine months. For fiscal 2025, we still anticipate A&M up in dollars versus the prior year. G&A expenses were 9.6% of sales in the first nine months, and we still anticipate full year G&A of approximately 9.5% as a percent of sales. Finally, adjusted EPS of $3.2 compared to $3.19 in the prior year with slightly lower revenues and the timing of A&M and G&A spend offset by more favorable interest expense. Our Q3 tax rate was 23.9%, resulting in a first nine months normalized tax rate of 23.7%, and we anticipate a stable tax rate in Q4. Now let's turn to Slide 10 and discuss cash flows. For the first nine months, we generated $184.9 million in free cash flow, up 5% versus the prior year. We continue to maintain industry-leading free cash flow and are maintaining our outlook for the full year of $240 million or more. We reduced our variable term loan debt balance to zero in the quarter, leaving just two fixed cost attractively priced notes with maturities in 2028 and 2031. We continue to repurchase shares opportunistically, and for the first nine months, we've repurchased approximately 600,000 shares for $40 million. We achieved a covenant defined leverage ratio of 2.5x in Q3. This improved ratio, robust free cash flow and consistent business performance gives us strategic flexibility with our capital deployment moving forward. We will continue to evaluate further opportunistic repurchases as well as M&A as part of a disciplined capital deployment strategy and expect to build some cash on the balance sheet to support these efforts, given the attractive rates of our remaining fixed debt. With that, I'll turn it back to Ron.
Ron Lombardi: Thanks, Chris. Let's turn to Slide 12 to wrap up. Our business remains healthy and we are on pace to exceed the earnings outlook we gave at the start of the year. Our accelerating business momentum is a testament to our proven business strategy and diversified portfolio. For fiscal 2025, we now anticipate revenues of $1.128 billion to $1.132 billion with an FX headwind expected in Q4. Our organic revenue growth forecast of approximately 1% versus fiscal 2024 remains unchanged. We're forecasting Q4 revenue of approximately $290 million. We now anticipate adjusted EPS of approximately $4.5 for the full year, thanks to our debt reduction efforts and the lower interest costs. This implies fourth quarter EPS of $1.3. Lastly, we continue to anticipate free cash flow of $240 million or more, thanks to our improved leverage ratio and the strong financial profile. The result is ample capital deployment optionality moving forward that allows us to drive upside and maximize shareholder value. With that, I'll open it up for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Rupesh Parikh of Oppenheimer & Company.
Rupesh Parikh: Good morning. Thanks for taking my question. So maybe just going back to Clear Eyes, if you could just remind us how you think about the recovery going forward, what you're seeing from an in stock perspective at retail and then just when you think we'll get back to normalized levels within the channel?
Ron Lombardi: Good morning, Rupesh. So for Clear Eyes, for the third quarter production levels were pretty much in line with what we had expected for the quarter. Sales were a little bit ahead, as the timing of some quarter end shipments enabled us to get it in and out of the warehouse at the end of the quarter. So that was just timing differences between Q3 and Q4. For Q4, we anticipate a level of sales to be similar to Q3, again because of that timing, but we anticipate a continued slight increase in production levels going forward. So looking ahead, it continues to kind of be a balancing act between short and long-term objectives, as we look to continue to support service levels and in stock levels the best we can, while allowing the suppliers to continue to make investments and improvements to support longer-term capacity increases. So as we look forward, we expect our sales to the retailers to continue to ramp-up slowly going forward each quarter with a likely increase in the second half of '26 as we see increases in supply from the current suppliers and the addition of a couple of additional suppliers into the network. So this is going to continue to improve slowly and incrementally each quarter going forward, Rupesh.
Rupesh Parikh: Okay, great. And then maybe just going back to your expectations for Q4, I think before the expectation was for gross margins to increase in Q4, so just more clarity in the puts and takes as you look at the balance of the year on the gross margin line.
Christine Sacco: Yes. Hi, good morning Rupesh. So, gross margin step-up in Q4 is really driven by the timing of cost saving initiatives. And we're not counting on any one thing. There's a number of projects that have been in the works now for a couple of years and, they'll start running through the P&L in the fourth quarter.
Rupesh Parikh: Great. And then maybe just one question. I know you're not ready to give guidance for the upcoming fiscal year, but is there any initial puts and takes as you look forward towards the next fiscal year?
Christine Sacco: Yes. Obviously, we feel good about the business, right? We just reported record sales and EPS. We think we have solid momentum as we finish up this year and head into fiscal '26. We'll have more to share in May, but that's how we're feeling about the business overall.
Operator: Our next question comes from the line of Susan Anderson of Canaccord Genuity.
Susan Anderson: Hi, good morning. Nice job on the quarter. I was wondering maybe if you could talk a little bit about the Cold & Cough season. Obviously, it was weak. It does seem like it's picked up lately. I guess, is this going to help fourth quarter or is it really just about clearing inventory out there? And then, also do you feel like the inventory is a little bit high at retail right now across the category? And can we, I guess, end the season clean?
Ron Lombardi: Good morning, Susan. I also like to start talking about cough cold reminding everybody that, it isn't a significant element of our portfolio. It's seven-ish percent of sales. So whether it's a good, bad or indifferent cough cold season, it really doesn't move our needle. The third quarter is a great example of not only that, but the benefits of the diverse portfolio. So cough cold was sales for us were down quite a bit in the third quarter. For the whole year, we anticipated it to be flat to down slightly. At the beginning of the year, it looks like it's going to be down a bit more than that, at this point. So despite the fact that I think as we finished up December and got into January, incident levels have ticked up. I am not sure that's going to result in retailer re-orders at this point. As a matter of fact, through the third quarter, we've seen takeaway at the shelf be above shipments in. So retailers, at least for our categories and our products, seem to be working down the inventory that they built with their pre-season buy. At this point, I'm not sure I would anticipate any increase in reorder rates for our products.
Susan Anderson: Okay, great. That's helpful. And then, maybe if you could just talk a little bit more about just your exposure to tariffs now that it's potentially moved to also Canada, Mexico, Europe and then also China as well. Maybe if you could talk about if you have any exposure there. I know most of the manufacturing is in the U.S., but if you could just kind of give us some more color there.
Christine Sacco: Good morning, Susan. On tariffs, just like everyone, we're watching carefully for implications, not just for finished goods, but other derivative elements and we'll understand that better as the landscape becomes clearer. A tariff is the cost just like any other cost that we would address. While we do source some of our products from the countries expected to be impacted, in aggregate, the business is well-diversified and that includes our supply base. As a reminder, the vast majority of our manufacturing is in the U.S. with the small remaining manufacturing fairly diversified across other countries and continents. And we think this is a strategic advantage versus others as things unfold. So I'd say given the fluidity of the situation, it wouldn't be prudent for us to speculate at this time. There's still a lot of unknowns out there and we need to understand the different variables. But we're running scenarios and we will be agile in our responsive actions as we were through the pandemic period.
Operator: Our next question comes from the line of Keith Devas of Jefferies.
Keith Devas: Hey, thank you. Good morning, guys. Maybe just doubling back quickly to the eye drop recovery, we can see some competitors have obviously, benefited while you guys have been off-the-shelf. So as you think about the full stages of the recovery, are you expecting anything from a promotional -- anything to change from a promotional intensity standpoint and how you kind of expect consumption to evolve as you get back on-the-shelf?
Ron Lombardi: Yes. Clear Eyes is by far the leading eye care brand and units at retail. So we've got a long heritage and connection with consumers. We're seeing transferability amongst SKUs for Clear Eye. So if one SKU happens to be out at a retail location, we are seeing our consumers reach for a different Clear Eyes. So we don't need to have a different approach around promotional activity or spending to continue to connect with the consumers. They are going to go look for that Clear Eyes product. It's important to them. So service levels aren't exactly and in stock levels aren't where we want them to be. As I had mentioned earlier, we're focused on that balance between making sure we're doing the right things to support long-term demand with our supply network and getting, as much product into the retailer shelves as soon as possible. So we expect that, we'll be able to regain and retain our historic levels of share over time.
Keith Devas: Got it. That's helpful. And maybe just switching to Hydralyte, the brand has obviously been very successful. You guys required the remaining rights in other markets. And so, maybe just adding some context on how you kind of expect the brand to evolve and what plans or reinvestment you plan to put behind it now that you have the rights in some other the countries, and maybe just expected contribution that you can see from the brand and the momentum continuing?
Ron Lombardi: Yes. So for starters, the Hydralyte brand in its core market of Australia continues to be the classic example of how we think about long-term brand building. Starting in Hydralyte's case with growing the category and getting consumers to think about hydration as an important element of taking care of their health. So we think we got a long runway there. It was about six years ago, we bought the first tranche of international regions for Southeast Asia except for China. And then more recently, we bought the rest of the world's rights with the exception of the U.S. And in most of those territories, Hydralyte didn't have any presence. So it's going to be a slow build, right, as we build out a distribution network, work with retailers to understand the offerings and then work to connect with consumers, so that they understand that there's a product with these benefits out there and available for them. So it will be a slow build over time, but a product proposition in a way to connect with consumers that we think will grow nicely over the long-term.
Operator: Our next question comes from the line of David Shakno of William Blair.
David Shakno: Hi, good morning. I just had a question on international. I think it was a bit higher than many of us expected. And you mentioned in the press release that it came from broad-based growth in addition to Hydralyte. Can you expand on some of that growth outside of Hydralyte and where that occurred?
Ron Lombardi: Yes. So maybe I'll start with David and I'll let Chris. I think if you look across the brand portfolio for the care business, I think almost all of the biggest brands there, Fess, Murine, Zaditen, for example, actually had strong growth. So this isn't the first time that we have seen this and I have commented in the past that care is hitting on a lot of cylinders, not just Hydralyte or our international business. I think we also had nice business excuse me, nice growth in our small European business and through our distributor network in South America as well. So not just Hydralyte, it's really the broader portfolio.
Operator: Our next question comes from the line of Linda Bolton Weiser of D. A. Davidson.
Linda Bolton Weiser: Yes. Hello. Thank you. Congratulations on a good quarter. So I was curious about, when you talked about the brands, Fleet and Dramamine, I was wondering on Fleet. I think you talked about an expansion into oral laxatives. I'm just wondering, am I understanding that that's like competing with like the big guys like a Metamucil? And if so, can you explain kind of why that makes sense? And then on Dramamine, I heard you mentioned anxiety. Is that a new expansion of the brand into that category? And again, what gives the brand the right to kind of compete in that category?
Ron Lombardi: Yes. Linda, let me start with the Dramamine first. We launched a product that is for nausea and stress. So when we go out and talk to consumers, one of the things they tell us is that, stress is often attributed to a cause of being nauseated. So that's the new product that's there, and it's done very well at retail for us. We launched that, I think last -- the end of last fiscal year or so. So for Fleet, we've launched constipation related products, not fiber. So we are inching into the category that other big players have brands into, but we're connecting in a way that's more grounded in Fleet's position of serious constipation. So we have got a number of products, including stool softeners out there that we have actually launched again towards the end of last fiscal year. We're growing distribution slowly and connecting with consumers online, digital and growing the distribution. So again, these products will be positioned in line with the Fleet's heritage of strong, fast and efficacious constipation relief.
Linda Bolton Weiser: Okay. That makes sense. I was also wondering, in looking at the Nielsen data and I know it does not tell the whole story, but nevertheless, it does seem like the prior year comparisons on POS growth do get a little bit harder in the coming weeks, like in the 4% to 10% growth range, which is pretty high. Can you remind us, what that was all about a year ago? And then, how do you feel about kind of comping up against that on a POS level?
Ron Lombardi: Yes. We see variability week-to-week in POS stuff, whether there is a change in holidays or weather other factors. The Super Bowl is a week later this year, right? So people are heading into the stores a week later to get their chips, dips and GI stuff, I guess. But anyway, we look at that. To step back for a minute, we already commented on the fact that, we feel really good about the momentum in our business. If you go look at North America, for instance, in the third quarter, I think we were up year-over-year in just about every category, I think with the exception of one. So we saw broad-based strong performance across the portfolio, and we feel good about those trends as we head into the fourth quarter, both from a consumption standpoint and the ability to hit our outlook for sales and EPS for the fourth quarter.
Linda Bolton Weiser: Okay. And then my last question is just on free cash flow. I'm just curious with the increase in earnings guidance, why wasn't there a little bump-up in the free cash flow guidance?
Christine Sacco: Yes. Linda, hi. It's Chris. So the original guide was $240 million or more. I guess that the recent uptick would be the -- or more part. So we're holding to that, but certainly feel good about the cash flow at this point.
Operator: Our next question comes from the line of Anthony Lebiedzinski of Sidoti & Company.
Anthony Lebiedzinski: Good morning, everyone, and thank you for taking the question. So as far as the gross margin, so I know you're expecting an increase sequentially in the fourth quarter of 57%. Looking back prior to COVID, I guess, you guys were close to 58%. As we look out into the future here, do you think there's an opportunity to get back to those historical gross margins or if not, how should we think about that?
Christine Sacco: Yes. Hi, Anthony. Longer-term, obviously, we'll continue the path of continued cost saving measures. We'll launch margin-accretive new products. And so, we would anticipate fully creeping that margin up over time. Just a reminder, we're trying to manage to a low to mid-30s EBITDA margin. So to the extent our gross margin is moving, you're likely to see a change in our A&M or G&A spend, which would hold operating income margins pretty flat. So that's our expectation for the future, but nothing structural that's happening in gross margin that we don't think we can recover over time.
Anthony Lebiedzinski: That's great to hear. And then, with the free cash flows of the business and now you're paying off the debt, the variable debt that is, what's your appetite for acquisitions and what's the pipeline looking like these days?
Christine Sacco: Yes. So certainly after investing in our brands, M&A is our second focus for free cash flow, followed by opportunistic repurchases and then debt reduction, which will come in the form of cash build for now. Our appetite for M&A is healthy as ever. I mean, we are looking at a lot of things. We always say, we haven't been out of the market. We've just remained disciplined and when we find something that meets our very well-defined specific criteria, we'll move forward with it. But for now, as we sit here today, the pipeline, there's a lot out there. We're looking at all of it. It's kind of the same, as it's been for a number of years now. So just given the nature of the fragmented space, we think, there'll be a lot of opportunities going forward. We'll continue to remain disciplined and we'll look at a lot.
Operator: Thank you. I would now like to turn the conference back to Ron Lombardi for closing remarks. Sir?
Ron Lombardi: Thank you, operator, and thanks to everyone for joining us today, and we look forward to providing an update in May. Thank you, and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.